Operator: Thank you for standing by, and welcome to the Phinia Q1 2024 Earnings Call. [Operator Instructions] Finally, a reminder that this conference is also being recorded.  
 I would now like to turn the conference over to Gordon Muir, Vice President and Treasurer. Please go ahead. 
Gordon Muir: Thank you, Pauly, and good morning, everyone. We appreciate you joining us. Our conference call materials were issued this morning and are available on Phinia's Investor Relations website, including a slide deck that we'll be referencing in our remarks. We're also broadcasting this call via webcast. 
 Joining us today are Brady Ericson, CEO; and Chris Gropp, CFO. 
 During this call, we will make forward-looking statements, which are based on management's current expectations and are subject to risks and uncertainties. Actual results may differ materially from these statements due to a variety of factors, including those described in our SEC filings.  
 And with that, it's my pleasure to turn the call over to Brady. 
Brady Ericson: Thank you, Gordon. Thank you all for joining this morning. Our team continued to execute on our strategies and delivered another strong quarter. We remain focused on consistently delivering value-added solutions to our customers while continuing to drive long-term value creation for our stakeholders. At the same time, we demonstrated resiliency in the face of challenging industry conditions in most of our markets.  
 I'll start with some overall comments on our first quarter performance. Chris will then provide additional detail in her financial review before opening up the call for questions.  
 Starting on Slide 4. Adjusted sales in the quarter were $846 million, an increase of just over 1% when compared to Q1 2023. This was driven by favorable pricing and currency, partially offset by lower commercial vehicle sales in Europe. Adjusted EBITDA and segment margins came in much stronger due to some onetime customer items, supplier settlement related to prior year and good execution by our operations.  
 We reported adjusted EBITDA of $131 million and an adjusted EBITDA margin of 15.5%, a 160 basis point improvement over prior year. Total segment adjusted operating margins were 13.6%, a 270 basis point improvement over the prior year. Although I'd love for this to be our new normal run rate, some of the onetime items I just mentioned helped us by about 100 basis points in the quarter. Q1 2023 was also an easier comparison as we had limited inflationary recovery during the year ago quarter.  
 We continue to make good progress on the transition from our former parent and believe that we are on track to exit all material transition service agreements or TSAs and all contract manufacturing agreements or CMAs by the end of this summer. 
 Our balance sheet remains strong with $325 million of cash, net leverage below 1x EBITDA and ample liquidity. Our focus on shareholder value continued as we returned $35 million to shareholders in the quarter, up from $26 million in Q4.  Our solid financial position is being recognized by the investment community as evidenced by the strong investor demand for our '29 senior secured note offering, which we opportunistically upsized from $425 million to $525 million. 
 The transaction closed at early April, at which point we repaid our term loan B and the outstanding balance on our revolver. Not only will this significantly reduce our run rate interest rates, interest costs, but it also eliminated the restrictive covenants of term loan B and provides us with more flexibility under which we can continue to support the future growth of the company as well as return capital to shareholders.  
 Let's move to Slide 5. Providing great products and service for our customers continues to be reflected in strong new business wins across all product lines and in all regions. These include several with commercial vehicle and off-highway customers, products for alternative fuels and complete systems, which include the ECU. 
 Some specific examples are contract extension and volume uplift to supply diesel fuel injectors to a leading global commercial vehicle OEM in Europe. A contract extension and uplift for a GDi system with a leading OEM in support of their localization plans in South America. Conquest business to supply GDi fuel systems to a leading OEM for one of its light vehicle platforms in North America.  
 Importantly, as we think about our new business wins, conquest continues to be a large portion of our recent wins and was particularly strong during Q1, which bodes well for our continued market share gains. 
 In terms of new product launches, 2024 will be an exciting year for us as we have a lot going on. Let me discuss a recent product launch that we're proud to announce. In a global first, Phinia will provide a high-performance 500bar GDi fuel system to Changan Auto for a hybrid vehicle that launches in Q2. This advanced system can significantly reduce particulate emissions, lower fuel consumption and lower the overall vehicle costs. This is the first of several 500bar systems that we'll be launching in the coming years. 
 Also on the customer front, I'm pleased to share that Phinia has been receiving numerous customer recognition awards for quality, responsiveness, improvement and support. For example, Phinia was recognized recently by Hyundai as supplier of the year 2023. This award was granted in recognition of Phinia's agility and adaptability while supporting Hyundai's production plans.  
 More specifically, Phinia was recognized for its ability to quickly increase supply well beyond contracted capacity to meet growing hybrid production demands. Our results this quarter represent another important step towards successfully executing our business strategy as an independent entity.  
 Looking ahead, we will continue on our path of fiscal responsibility and strategic growth. Our goals are clear: To deliver value to our shareholders, to invest in innovation and growth opportunities, and to strengthen our market position. We strongly believe that all the work we've done will help us achieve our ambitious yet achievable goals.  
 Overall, looking at our business and financial results, Q1 performed in line with our expectation, and we're on track with our full year 2024 guidance that we issued last quarter. As a result, we believe we will be able to deliver another year of strong financial performance.  
 With that, I'd like to hand it over to Chris, who will walk us through our Q1 results and discuss our outlook for the year. Chris? 
Chris Gropp: Thanks, Brady, and thank you for all for joining us this morning. As a reminder, we will discuss our results and outlook. Please keep in mind there continue to be TSAs and CMAs with our former parent, which we are rapidly phasing out. In addition, reconciliations of all non-GAAP financial measures that I will discuss can be found in today's press release. 
 Moving to Page 9 in the deck. In Q1, we generated $846 million in adjusted total sales, up slightly versus a year ago. Our aftermarket business benefited from higher pricing and positive FX for an increase of 3.1%, whereas Fuel Systems was impacted by lower CV revenue in Europe, offset by inflationary price pass-through. Our adjusted diluted earnings per share was $1.08. We earned $97 million in adjusted operating income and $131 million of adjusted EBITDA, resulting in an adjusted operating margin of 11.5%, which represents a year-over-year increase of 170 basis points, while the adjusted EBITDA margin of 15.5% represented a year-over-year increase of 160 basis points. 
 Of note, when compared to the prior year, the results in both the first and second quarters of 2023 reflect timing differences, making for uneven comparisons for these 2 periods. More specifically, the first quarter of 2024 benefited from the pass-through of inflation whereas in 2023, a portion of pass-through was delayed to the second quarter. A supplier settlement of $10 million, of which $7 million is a onetime retroactive recovery. And finally, we had strong product sales mix and a favorable currency impact. 
 From a core business performance standpoint, our segments reported strong overall margins. Q1 segment adjusted operating margins were healthy at 13.6% as our aftermarket segment expanded to 17.9% on the back of inflationary price pass-through and positive product sales mix. Q1 Fuel Systems margins were strong at 10.8%, similar to Q4, but ahead of the same period of the prior year due to the pass-through of inflationary prices and a supplier settlement for an issue that plagued us during 2023.
 Note that this is included in our full year guidance, although the timing was unknown. Corporate costs were $18 million in the quarter compared with $9 million in the same period of the prior year. The largest driver of this year was the buildup of our stand-alone corporate function as we separated from our former parent company. We continue to expect approximately $20 million in quarterly corporate costs going forward, in line with projections provided last year at spin. 
 Let me now bridge our revenue and EBITDA, which you can find on Pages 10 and 11 in the presentation. Our adjusted sales performance in the quarter was affected by softness in volume and mix, which was a headwind of $7 million, mainly due to lower CV sales in Europe. By contrast, we saw a favorable sales benefit from inflationary cost pass-through of $12 million and FX was a tailwind this quarter of $6 million. Inflationary pressures have mainly receded with only small pockets of residual increases remaining. 
 Negotiation of customer price recovery was finalized in Q2 of 2023 versus lump sum and results in program and segment profitability, moving in line with expectation on a more consistent basis after this period. 
 Turning to Page 11. The quarter saw favorable pricing pass-through of $12 million in addition to supplier savings of $19 million. Employee and other production costs were an offset of $17 million. Of the $19 million in supplier savings, $10 million relates to settlement of the 2023 supplier issue previously noted. The $10 million settlement breaks down further into $7 million of retroactive non-run rate funding and $3 million of reduced part costs to be more in line with market cost. Corporate costs were up $9 million, in line with expectations and partially offset by $3 million in reduced R&D and other SG&A costs. Q1 cash from operations were $31 million. 
 During the quarter, we generated free cash flow of $13 million as we continue to be disciplined in management of our working capital and drive optimization of resources and processes on a daily basis. Capital spend was slightly higher in the quarter on a run rate basis, but still projected to come in for the full year guidance of 4% of revenue.
 Next, turning to our liquidity. We ended the quarter with $325 million in cash, $424 million of committed revolver availability. Our net leverage is less than 1x EBITDA. We are committed to a strong financial foundation and having ample liquidity to run our business and execute our strategy. To that end, subsequent to quarter end, we issued $525 million principal amount of 6.75% senior secured notes due 2029 with interest to be paid semiannually. 
 Due to strong investor demand, we upsized the offering from the original $425 million planned. The notes bear interest at an annual rate of 6.75% and we used the net proceeds to repay the outstanding borrowings under our term loan B facility and the $75 million we had drawn down on our revolving credit facility. As a consequence, we have no outstanding draws and the entire $500 million of our revolver is available to us.
 Additional funds were used to pay fees and expenses in connection with the offering and for general corporate purposes. This issuance helped us meet one of our many financial goals for the year and provides a stronger, more cost-effective capital structure while improving our liquidity. 
 Moving next to our 2024 guidance. As Brady and I both mentioned, our first quarter results are trending in line with our full year guidance. As a result, we are reaffirming the guidance we presented on the last earnings call. Overall, we expect strong earnings and cash generation in 2024 as we continue to drive operational efficiencies, exit agreements with our former parent and grow our aftermarket sales. 
 In closing, I want to reiterate Brady's message regarding our focus on financial discipline and generating strong shareholder returns. And with that, we'll now move to the Q&A portion of our call. Pauly? 
Operator: [Operator Instructions] And your first question comes from the line of Jake Scholl from BNP Paribas Exane. 
Thomas Scholl: Congrats on a great quarter. Could you just provide a little bit of color on how we should think about seasonality for the rest of the year. So into the second quarter, we have to roll off some of the onetime items, but are there any other factors we should keep in mind. 
Brady Ericson: No. I think it will be kind of consistent with last year. I know a lot of people want to get into specific quarters. Things are going to move around always just a little bit depending on when holidays are and when the end of the quarter ends. In general, Q1 and Q4 from a revenue standpoint tend to be a little bit lighter. 
 Obviously, we have some shutdowns in Europe in the summertime as well as in the U.S,  but Q2 tends to be a good strong quarter in Q3. So again, it'd probably be similar kind of cadence with last year from an overall revenue once you take out the noise from any customer recoveries. 
Thomas Scholl: Got it. And then now that you guys have cleared up some of the more restrictive covenants you had in the initial term loan B after the spin. How should we think about any shifts in your capital allocation priorities? 
Brady Ericson: Well, I think the capital allocation priorities kind of remain the same, but obviously, we don't have the restrictions. The TL B restrictions had a lot of limitations on both dividends and buybacks as well as some punitive cash sweeps if we got anywhere over one time. And so I think it will free us up a little bit and allow us to utilize more of the cash that we have on hand because we do continue to have probably more cash on hand than we need. So we'll look to deploy more of that as well. 
 And with us paying down the revolver, our liquidity is now over $800 million. And again, that's probably excessive. 
Operator: [Operator Instructions] There are no final questions at this time. I will close the Q&A session and hand back over to Brady Ericson for closing remarks. 
Brady Ericson: Great. Thanks, everybody. We look forward to building on the achievements of the past quarter and moving forward with a clear line of sight on our long-term goals. Thanks for joining us this morning, and have a nice day. 
Operator: This concludes today's conference call. Enjoy the rest of your day. You may now disconnect.